Operator: Good day, ladies and gentlemen, and welcome to the Stoneridge First Quarter 2014 Conference Call. My name is Tracy, and I will be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Ken Kure, Corporate Treasurer and Director of Finance. Please proceed, sir. 
Kenneth Kure: Good morning, everyone, and thank you for joining us on today’s call. By now, you should have received our first quarter earnings release. The release and accompanying presentation has been or will shortly be filed with the SEC and it has been posted to our website at www.stoneridge.com. Joining me on today’s call are John Corey, our President and Chief Executive Officer; and George Strickler, our Chief Financial Officer. 
 Before we begin, I need to inform you that certain statements today may be forward-looking statements. Forward-looking statements include statements that are not historical in nature, and include information concerning our future results or plans. Although we believe that such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties, and actual results may differ materially. Additional information about such factors and uncertainties that could cause actual results to differ may be found in our 10-K filed with the Securities and Exchange Commission under the heading Forward-Looking Statements.  During today’s call, we'll also be referring to certain non-GAAP financial measures. Please see the Investor Relations section of our website for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. 
 John will begin the call with an update on the current market conditions, operating performance in the first quarter, our growth strategies, business development and his thoughts on future initiatives. George will discuss the financial and operational aspects of the first quarter in more detail. We have prepared and published an earnings presentation to provide more detailed schedules to help you understanding the first quarter results, trends for our continued improvement and update you on key initiatives to improve financial performance. A copy of these items can be found in our website at www.stoneridge.com in the Investor Relations section. 
 After John and George have finished their formal remarks, we will then open up the call to questions. With that, I will turn the call over to John. 
John Corey: Good morning. First quarter results announced today were below our expectations due to the downturn in the Brazilian economy and an 18.6 devaluation of the Argentinian peso against the Brazilian reais. Consolidated revenues in the first quarter were $236.4 million, which was a minimal increase of $700,000 or 0.03% over the first quarter of 2013.  Sales increased at Control Devices by $5.4 million or 7.5% and in Electronics by $5.6 million or 12.6%, both slightly above our expectations. Wiring sales were lower by $1.7 million or 2.3% versus the prior year, primarily due to the declines in the agricultural market. PST sales were down $8.5 million or 20.1%. PST's U.S. dollar revenues were impacted by an 18% decline in the reais versus the dollar compared to the first quarter of 2013. This devaluation accounted for $6.3 million of the reported $8.5 million revenue decline.  EPS was $0.05 a share compared to our first quarter of 2013 EPS of $0.15 a share. Our operating margins in our businesses, excluding PST, improved to 5% compared to 4.8% in the first quarter of last year, as operating income was about equal to last year's level for Control Devices, Electronics and wiring, while PST was down as a result of the economic downturn and currency impacts. 
 Consolidated Stoneridge operating income margin decreased to 3.2% in the first quarter of 2014 compared to 4.4% in the first quarter of 2013. Stoneridge's operating margins, excluding PST, improved over the fourth quarter, rising from 2.9% to 5%. PST's operating margins, excluding purchase accounting, was a negative 3.2% in the first quarter, a decline from the fourth quarter operating margin of 6% as a result of continuing weakness in the local economy, higher labor cost and higher imported cost due to the U.S. dollar denominated imported materials. PST's results were also impacted by an 18.6% devaluation to the Argentinian peso compared to reais, which occurred in the last 2 weeks of January. This resulted in a pretax foreign exchange loss of $1.6 million and a $700,000 net income or $0.03 a share. 
 Slide 5 of our deck has a complete P&L breakout of the first quarter of 2014, versus the first quarter of 2013. 
 Slide 4 identifies Stoneridge's segmented sales increases and decreases versus the prior year's first quarter, and Slide 8 of our deck identifies the bridge item differences between the first quarter of 2014 and the first quarter of 2013 earnings per share.  The quarter's differences are primarily due to the growth in revenue at Control Devices and Electronics, offset by unfavorable mix, lower volume and foreign exchange movements at PST from the devaluation of the Argentinian peso. In addition, we incurred higher design and development expenses at Control Devices and Electronics to support new business launches in 2015.  Revenues in our passenger car and light truck category, which are predominantly Control Device sales, were $63.1 million in the first quarter, a 9.1% increase from the 2013's first quarter sales of $57.9 million on higher volumes of existing products.  Sales in our commercial vehicle category, which are predominately Electronic and Wiring sales, were $95.4 million in the first quarter compared to $89.6 million, a 6.6% increase over the first quarter of 2013 due primarily to higher volume sales of Electronic products in Europe. Agricultural equipment sales decreased by approximately 5.5% to $36.4 million in the first quarter of -- from the first quarter of 2014 due to reduced sales to a large agricultural customer. Slide 4 provides the detail.
 As previously discussed in past calls, the performance of the Wiring business has been impacted by significantly lower volumes, and we are adjusting cost structures to match the volume declines. We believe the bottom has been reached, and in the second quarter, we are seeing positive improvements in the commercial vehicle markets and improvements in our internal operations. We still have work to do to return this business to our profitability expectations, but it is on the right track to do so.
 New and replacement business awards for Stoneridge's businesses in the first quarter were $27.1 million, representing $13.9 million in new business awards and $13.2 million in replacement awards. Our new business awards in the first quarter include an exterior release switch for a large North American pass car and light truck customer, and a Shift-by-Wire award for a large North American vehicle and light truck customer. Based on the past awards and current activity, we expect the Shift-by-Wire category to be a significant contributor to Control Devices global growth over the next 3 years, with a potential annual peak revenue of $150 million for this product category. This is significant growth, considering that 3 years ago, we did not have any business in this product line. 
 And then to Stoneridge, our unconsolidated JV in India posted first quarter sales of $10.1 million, an increase of 16.9% versus the first quarter of last year, in spite of a 9.8% devaluation of the Indian rupee and a weak Indian economy. Excluding the effects of foreign exchange, Minda sales increased by about 33.5% compared to the prior year. Our share of Minda's net income from operations in the first quarter was a profit of 225,000 compared to a profit of 231,000 in the first quarter of 2013. Minda's profit was impacted by higher SG&A cost in the current quarter.  PST's first quarter U.S. dollar sales were $33.9 million based on an average exchange rate of BRL 2.36 reais to the dollar compared to $42.4 million in the first quarter of 2013 based on an average exchange rate of BRL 1.99 to the dollar, a devaluation of about 18.5%.  In U.S. sales -- dollar sales, PST's sales decrease was about $8.5 million or 20.1%. In reais, the sales decrease was about 5.3% or BRL 4.5 million. Excluding foreign exchange impacts, lower sales was a result from sales in car and motorcycle alarms in the aftermarket channels.  PST's growth margins, excluding 300,000 for purchase accounting, was 36.4% in the first quarter of 2014 compared to 42.5% in the first quarter of 2013. This decrease was driven by lower volume in car and motorcycle alarms, which traditionally have higher margins. Excluding purchase price accounting, PST had an operating loss of $1.1 million or a negative 3.2% of sales compared to a positive 6.9% in the first quarter of 2013. The operating margin decline from the gross margin reduction was partially offset by reduced SG&A expenses, which were primarily sales related.  The Brazilian economy's performance has impacted all PST sales channels, and management has taken actions to reduce cost until a more positive trend is indicated.
 Summing up from a market perspective. The North American passenger car and commercial vehicle markets and the European commercial vehicle markets met our expectations. Wiring is beginning to be restored to our former profitability levels, and should benefit from improvement in Class A production and a recovery by our largest CV wiring customer. PST significantly underperformed our expectations. The economy is underperforming, and has not benefited from development investments to support the World Cup and the Olympics or other government stimulus programs. It appears that the economy will remain under performing until after the presidential elections. Brazil's inflation rate has increased to 7.4%, while interest rates have risen to 11.5% in response to a weaker economic environment. PST has developed significant cost downs to reduce direct material component costs by sourcing directly in China. The benefit should start to be seen in the fourth quarter as we manage inventory and supply pipelines. In addition, besides direct material cost actions, reductions in headcounts and logistics and warehousing cost initiatives are underway.  As we review our outlook for the business, Control Devices and Electronics should continue to perform well. Their volumes were up in the first quarter and their gross margins have improved. In the Wiring business, we have made progress in matching cost to revenue, and are improving operational efficiency and we expect continued improvement in the Wiring business over the course of the year. PST will have a difficult first half given the economy, but we expect with the actions they are taking, these should benefit them in the last half. With that, I'd like to turn the call over to George. 
George Strickler: Thank you, John. Many of our markets have been improving over the last 3 quarters with the exception of Brazil. Our first quarter financial performance was below our expectations of improved profits due to lower sales in PST and the 18.6% devaluation of the Argentine peso against the Brazilian real at the end of January. As John indicated earlier, Control Devices and Electronics performed to our expectations, but PST was negatively impacted by the downturn in the Brazilian markets and the peso devaluation. In addition to profitability, we continue to focus on cash flow generation. Our first quarter operating cash flow was an outflow of $16.2 million, was affected by inventory increases, primarily at PST, as a result of lower sales demand, the length of our supply chain to the audio lines from China and accounts receivable increases in our other Stoneridge businesses. The sales increased in February and March of this year compared to our November, December rate from last year. PST's plan is to reduce inventory by $20 million from the March 31 levels by the end of the year compared to the current levels, and have already reduced $6 billion in the month of April.  As indicated on Slide 11, we improved the total debt-to-EBITDA ratio from 2.9 at December 31, 2012, to 2.7x at December 31 of last year. And with our 2014 guidance, we expect our debt-to-EBITDA to be in the range of 2.5x to 2.9x by the end of the year, excluding the effects of any refinancing. This is approximately the same level as it was in 2013.  Our ABL remains undrawn since November 2012. And due to the inventory buildup at PST, we temporally borrowed $7 million in short-term debt in the first quarter this year to fund working capital growth needs in the first quarter -- before the end of year, as they lower inventories in the last 9 months of the year. See Slide 10 of our deck. 
 In comparison to the first quarter of last year, PST sales decline of $8.5 million or 20.1% was due to the reduction in consumer market and the devaluation of the Brazilian real. The 18.6% devaluation of the Argentine peso during the last 2 weeks of January of this year negatively impact PST's earnings by $0.03 per share. PST's operating margin, excluding noncash purchase accounting, dropped to negative 3.2%, which is significantly lower than the profit margin of 6.9% in the first quarter of last year.  Reduced sales levels and unfavorable mix across most product segments and channels negatively affected PST's first quarter operating results. As PST management did in the second quarter of 2012, they just as quickly took action in April, May to address the market downturn with a number of aggressive cost reduction initiatives. PST has accelerated cost reduction programs with the Chinese design house to save $5 million to $8 million in component cost annually, which PST will benefit fully in 2015. PST is working to reduce its logistics and warehouse expenses, and have an aggressive headcount reduction program that's being implemented in May.
 PST purchase accounting in the first quarter of 2014 continues to be consistent with our expectations to lower expenses in 2014, as discussed on our last call. See Slide 9 of our deck.
 For Control Devices, Electronics and Wiring businesses, we maintained a similar gross margin in the first quarter of this year compared to the first quarter of last year on slightly higher sales, and operating margin improved from 4.8% to 5% even with higher spend in design and development efforts.  With the recent wins at our actuated business, we had begun to invest more money for higher level of launch activity in 2015 and 2016. We have discussed over the last year our continued focus to grow the top line with profitable business. And during the last quarter, we continue to complete some key initiatives that will deliver top line growth and improve profitability, cash flow and return on invested capital. We have completed negotiations to establish a new joint venture with our existing partner in India for all new products and technologies. The new venture will have a 60% controlling interest with the option to increase our ownership to 74%. We have completed a small acquisition of an aftermarket distributor in Germany to strengthen our position in the tachograph aftermarket business in Europe. We completed the transaction in April 1 of this year.  We continue to pursue acquisitions for our Control Devices and Electronics business units. And in April, we won a major addition to our Shift-By-Wire business that will require 2 new lines in our warehouse facility to meet the customer launch in 2015 and beyond. This latest win was not included in the new business awards that John discussed. We should be able to give you more details on our second quarter call. And as John stated, with this win, our Shift-by-Wire product line should reach peak sales of $150 million in the next 3 years.  We've been working to be ready to refinance our long-term bonds by October 15 of this year, as markets continue to remain strong with very competitive interest rates, terms and financing conditions. All of these initiatives will continue to improve our financial performance and enhance shareholder value. 
 John and I shared with you today our management team's actions, which address the overall lower production volumes from slowing markets, specifically, in Brazil. However, our performance at Control Devices and Electronics reflect our successes to win new business, develop new technologies and develop global business with our global customers by leveraging the investments we have been making over the last 5 years.  From our current market projections, we expect second half sales from Control Devices and Electronics to be at or slightly lower than the first half of this year, while we expect PST sales to improve above our first half sales and our forecast to be just above 2013 sales for the year on a local-currency basis.
 As we shared with you today, with the exception of PST, the first quarter went according to our plan, and we believe we have taken the actions necessary to position the company well for the remainder of this year. PST has been a strong performer over the years and the management team is taking the substantive actions to reduce costs and lower inventory levels. Their inherent capabilities position them well to address the changing market channels. 
 We will now open the call for questions. 
Operator: [Operator Instructions] Your first question comes from the line of with Justin Long from Stephens. 
Justin Long: My first question was on PST. When you talked about the aggressive cost actions that are being pursued, are these changes incremental to your initial plans headed into the year? And secondly, is there any way to quantify the savings you're targeting as a result of these initiatives? 
John Corey: Well, the material design savings were part of our plan for the year. We've been working on those. And, actually, we thought we would see those occur a little bit earlier. But now, with the slowdown of the market, we've got to manage through the pipeline. So they'll come a little bit later in the year, but they were in our plans. The reductions in headcount, the changes in some of our logistics and distribution patterns. Those were not claimed in our plants and those will help offset the drop in the revenue volume that we see. 
George Strickler: And the other one, Justin, is really redesigning our logistics and warehousing, that savings and a lot of these, as John's saying, because of the drop in the demand, we were looking at these in the third and fourth quarter. They'll tend to come later in the year, but they should be fully in effect and running for 2015. I think, as we mentioned with the raw materials side, it's $5 million to $8 million. We actually see a potential to improve that because the designs are more standard in China than we originally thought, and so I think that will have a tendency to go up. The logistics savings is roughly between $2 million and $2.5 million, and then the labor count as we're taking out 154 people in the month of May. We will have a severance cost in the month of May of roughly about BRL 1.4 million. So I think these plans will start to get the profitability back in the third and fourth quarter, not to the level that -- because the drop was fairly significant. And then hidden in this, when you really look at it, the drop in sales in the first quarter of 20%, a major part of that is really the devaluation and change in the currency. Now that adds some issues to us because that means that imported dollar costs for raw materials are going to come in at higher cost levels. So we've got to find ways to offset that through pricing and really designs of our products. So -- but I think, overall, our guys, our management team, in Brazil has taken the proper actions to really reflect where the market's at and what we need to do to improve the profitability. 
John Corey: Yes, and on the Argentinian peso decline, the team has taken actions to move pricing on that. So we're trying to actively manage that in with the local market conditions. 
Justin Long: Okay, great, that's all helpful detail. I appreciate it. I think as a follow-up, it's fair to say that in the first quarter, Brazil was a little bit below expectations, but you maintained your full-year guidance, which to me, implies a better outlook for some of the other businesses that could serve as an offset to what's happening in Brazil. Could you just give some more color on the areas of the business where you feel better today versus your original expectations at the beginning of the year? 
John Corey: Well, I think, clearly, as we shared with you today that our Control Devices and Electronics business continue to do extremely well. Control Devices was up 7.5% in sales. Electronics was 12.7% up. So I think the margins are very, very well-positioned in that market. We see the market as being very stable. Wiring business, I think, we've continued to be a little bit behind because of the drop in, really, the ag market, as John mentioned earlier. And so we are finally getting to the point we're positioning our headcount, our overhead cost in relation to the demand schedules that we're seeing. So I think we were fairly open that we said we can get back to sort of that low end of our range in the second half, late third quarter, fourth quarter, around 4%. I think we feel good with where we're trending, and we're still relying on the expectation that our largest customer will continue to gain share, and the Class A market will come back up. I think with the Brazil devaluation, what we're sensing is that now that's it in place and really had an impact on us in the first quarter. It did stay fairly consistent at the level we're at right now. In fact, our plan was done at 2.30. It's trading this morning at 2.21. That should be a benefit to us. And then with the cost actions we're taking, and then the real challenge we had is we need to get the supply chain for the audio line, as John mentioned, back in line as we built some inventory. So some of the benefits we would've seen late in third quarter, fourth quarter, will probably push into the first quarter. So overall, I think we feel very good with the 2 key businesses that have been performing very well. Wiring is improving. I think what we need is just the expectation of the Class A market coming back to some extent during the course of this year. I think Brazil will continue to see some improvement with our cost initiatives and the stabilization of the market. 
Justin Long: Okay, great, and one more for me. Just on the guidance, I was wondering if you could talk in a little bit more detail about the earnings cadence you expect over the remainder of the year. Should the second quarter look pretty similar to what we saw in 1Q, maybe a little bit better given some of these near-term headwinds are starting to get a little bit better in Wiring with the ramp in the back half of the year? How do you think things play out on a quarterly basis to kind of bridge us from 1Q to your full year guidance? 
George Strickler: Well, second quarter will be better than the first quarter. And when you really look inside our numbers and from the deck we provided, Brazil costs us probably about $0.11 a share in the first quarter with $0.03 being on deval on currency the other $0.08, really in the drop of the sales line. So I think by just getting that back to some extent, it will start to push you up in the second quarter. But I think the real pull-through starts to come through in the third and fourth quarter because of the increase in the Class A, and then traditionally, the first quarter is the lowest quarter for PST. And if you look at the trend that we're seeing, is that we should see sales uplift in the third and fourth quarter, maybe not to the levels we experienced a couple of years ago, but we will see improvement over where it was. 
John Corey: Yes, our plan, and just to reiterate, our plan over the year was to have the stronger second half based on the market for commercial vehicles in North America, and also a recovering market for commercial vehicles in Europe, and so we still see that on track. As a matter fact, there's some very positive signs on the North American commercial vehicle market, as we're looking at that going out so -- and again, as we said, it's our largest customer in that Wiring segment, hopefully, regain some share in there. That will benefit us also. 
Operator: Your next question comes from the line of Irina Hodakovsky from KeyBanc. 
Irina Hodakovsky: A quick question for you on the Wiring operations. Medium and heavy duty truck overall, the industry is showing some positive signs. You're talking about positive expectations. For Stoneridge overall, it went up 6.6%. But your Wiring operations, medium and heavy trucks, part of it went down. Can you talk about that a little bit and what you expect, going forward, and what caused the decline? 
John Corey: Are you talking about the decline from the first quarter of last year? 
Irina Hodakovsky: I'm looking on Slide 4, and I'm looking at the quarter -- year-over-year results, medium and heavy duty truck and the Wiring went down 2.7%. But it seems [indiscernible]. 
John Corey: Yes, I think that's still a reflection of where our largest customers' at in terms of where they were a year ago. I think we still believe in the expectations that they will continue to improve over the second, third and the fourth quarter. And then as we did mention, and it doesn't show in that line, the medium truck and clearly the ag market is off a little over 5.5%. But it's predominantly still the expectation that our largest customer will start to gain traction and volume. 
John Corey: Yes, specifically in the first quarter, in the commercial vehicle space, we have plans, higher export sales of product through our customer base, and those export sales have not materialized at the pace that we originally expected in the plan. As a matter of fact, in our forward planning, we've looked at that, and because of various factors, we see the export market for the North American export market and commercial vehicle being a little bit weaker. And so we factor that out in our plans, but we also see some improving strength in the -- as we've said in the commercial vehicle markets going forward. So x the export market, we think there's going to be a good performance out of the commercial vehicle market, and our revenues in that export market were not relatively significant for us. 
George Strickler: And I think what you see, Irina, in the charts, is there was a nice uplift from fourth quarter to first quarter, but first quarter compared to last year is down, as you mentioned so -- and it's really attributed to the comments that John just made. 
Irina Hodakovsky: The expectations for the large North American customer, you expect them to go up sequentially or on a year-over-year basis going forward? 
John Corey: Well, if we look at their impact last year, it was predominately again went into the second half of the year. So we're expecting them to improve as they go forward again, but -- so I would expect that we'll see a sequential improvement in this going forward in this quarter. Again, it depends on how quickly they can -- not quickly, how the market develops and how they maintain their position or gain share in that market. 
Irina Hodakovsky: And if I could also ask on the Wiring operations, their very small mix is passenger car, light truck and then there's other segment, again, very small mix, but they are -- you're increasing those [indiscernible]. The new business you're adding in, is there opportunity to get more of light truck passenger car business within the Wiring operations and maybe grow that segment a bit? Does that make sense? 
John Corey: Yes, I think that's -- no, that's just probably -- as we look at it, that would be some sales that are going into that category, but we don't see significant growth in that category. 
Operator: Your next question comes from the line up Robert Kosowsky. 
Matt Mishan: PST, it looks like first quarter in sales in Brazilian local currency were down versus an easy comp versus last year because last year had been down about 10%. So what gives you the confidence outside of seasonality, obviously, that you're going to get this pickup in sales growth rate throughout the year? 
John Corey: Well, I think as we look at it, again, where we were somewhat concerned about the state of the Brazilian economy. As we look at it, we see the Brazilian economy, perhaps, improving in the second half. We don't really see it happening in the second quarter. But there are some other product lines in there that, for instance in our cargo tracking business where we are on test on several fleets, and should those test end -- every indication is that those tests are running well. When those fleets go to change, we would have a good opportunity to win business there to improve that business. We also believe that with the repositioning of our cost structure and the audio line, we'll have some opportunities to price at that line more competitively, but also to improve our margins on that line. So that might drive some additional demand in there. 
Robert Kosowsky: Okay and then -- what -- how much -- did you quantify what the cost cuts are going to be that you're currently doing right now? 
John Corey: Well, on the material cost cuts, I think George gave you indication of 6 to 8. 
George Strickler: The $5 million to $8 million there, and we said we've got some upside because what we're finding, Rob, is we've gone in, we work with a design house. It was really an issue do we had to redesign some of our parts and components or can we use standardized products that they have in the design house, and we're finding that they're matching up very well with our designs. So I think we'll be able to improve the cost, and as we've gotten down it by platform, I think there's some upside there. The warehousing and logistics is running around $2 million to $2.5 million. Some of that depends though on the volume and the inventory levels we're positioning right now. And then the headcount, as I mentioned, is 154 people, which we're taking in, in May. So overall, the cost reductions we're working on this year would have a benefit of roughly of about $5 million to $6 million for this year, but it's going to be more weighted in the second half. And then the full effect of these will come in 2015. 
Robert Kosowsky: Okay. $5 million to $6 million total benefits in this year, which is mostly going to be in the second half of the year, so say, $4 million, give or take, and then you'll have another $4 million easy comparison in the first half of next year? 
John Corey: Yes, I think, a good model [indiscernible]. If you look at the second half of -- or second quarter of 2012, when we had to take -- Brazil had to take those reductions, and you follow that to the last 2 halves, you'll see somewhat similar pattern. 
Robert Kosowsky: Okay. And then, okay, but for the revenue growth, a lot of it is just some new products coming out and kind of, I guess, hope that you're going to have a stronger Brazilian economy post the elections? 
John Corey: Yes, we're still -- I think compared to last year, and you said that the comparison is sort of, but it's not. I mean last year, we had a very outstanding first quarter. In fact, we sold in dollar terms about $42 million. This year, we did $33 million. So of that drop of 5%, 5% -- or 20%, 5% was due to local market reduction and the rest was all due to currency. So if you look at the comparables for next quarter, we did about $47 million in '13. We think we can do somewhere roughly about 10% less than that for the second quarter. And then it starts to build in the third and the fourth quarter because we had almost the reverse. The Brazilian market was starting to go down in the third and fourth quarter of last year so you're going to see a sort of a switching in the currency or the quarters just based on where the economy was at, and what's coming up. And then the elections are in October so you'll start to see an improvement, as the government is trying to incentive-ate the economy and do some other things so... 
George Strickler: And the other thing we're looking at we try to monitor what distributors are carrying in their inventories. And in some cases, we've seen, in the alarm business, distributors carrying inventories below historical averages. And so with the market upturn, there could be -- I don't want to suggest that, well, I'm not suggesting there'll be a quick pop, but there could be some demand there as they go to replenish those inventories. But right now, I think, in Brazil, you're seeing everybody being very, very cautious, managing their inventories very tightly. So we're going to monitor that. But on some of our alarm business, they're lower than normal -- historic norms for distributor's inventory, and so that might offer an opportunity as we go forward. 
Robert Kosowsky: Okay. And then on the Wiring business, I guess, it's good to see the sequential growth. And I'm wondering if you expect that segment to be profitable this year? 
John Corey: Yes. We expect that segment to be profitable but we're -- really, we didn't talk about it much on this call, but we've taken actions in the first quarter. But most of those actions, what we've been doing in the first quarter is really rebalancing to the new revenue realities. And so one of our issues has always been trying to match a customer's forward forecast to their actual forecast, and then being available to meet that actual forecast. And historic -- what we've seen in the last year and maybe a little bit in the first quarter of this year, is the forward forecast was higher than the actual forecast so we ended up with a little -- with more manpower and staffing than we needed. And as we go into the second quarter, we trimmed that down, and we have some substantial headcount reductions that are coming out of the plants in the second quarter. They've already -- they started in the first quarter, but the bigger push comes into the second quarter. 
Robert Kosowsky: So you get some, I guess, better productivity. So you get better, I guess, efficiencies. You're able to take some headcount out in the second quarter, and that's going to -- that come out with -- some market share pick up by your customers is going to drive you into profitably maybe in the second half of this year that could actually outweigh a loss in the first half? 
John Corey: On an operating profit basis now, the business is profitable. And we expect that to continue, and we expect that to improve as we see the full benefit of these headcount reductions. And then as volumes pick up, that should -- we will be able to leverage those volumes also, so yes. I would say, one thing. There is some productivity improvement in there. I think the other side is that, last year, there were some inefficiencies in our business as we were -- as I said, when we saw our large customer drop line significantly in the second half versus the forward forecast, which did not indicate those kind of line drops. You're always trying to chase it to catch-up. So we think we've gotten ahead of it now. We think the market stabilized to a certain degree. We're looking at some forward trends from some other customers that were currently running below forecast, but look like they're going to come back up to forecast in the June and July time frame, which has given us positive signals that, that market is recovering, and our customer base might be moving in a positive direction also. 
Robert Kosowsky: Good to hear. So basically, So basically, your major customer had a nice 20% lift of production rates in term of its plants. So you're pretty confident you're going to be able to fully -- you have the right staffing for that deal to fully execute on that ramp? 
John Corey: Yes, I guess we haven't -- we're monitoring that very closely. We don't have -- have not had a issue with that yet. 
Robert Kosowsky: All right. Good to hear. And then finally the $1.6 million unfavorable currency loss relative to Argentina, that's just a one-time charge that hit this quarter that's not going to be recurring again next year, right or next quarter, right? 
John Corey: As long as the currency stay aligned as they are right now, Rob, because we produce in a strong currency, then we ship into Argentina and sell in pesos, and so it's that one-time exposure at that point. 
John Corey: Well, maybe a little when for -- when they collected the -- we've shortened our receivable terms too because that was one of the things that we had longer -- well, longer-term's out there. So the devaluation in January, as we collect those January receivables, look, there'll be minimal impact into the second quarter, but some. 
Operator: [Operator Instructions] And your next question comes from the line of Jimmy Baker from B. Riley & Co. 
Jimmy Baker: Most of my questions have been addressed at this point, so really just have a couple of follow-ups. Regarding the cost-cutting, is anything material taking place at the Stoneridge level? Or would you say that these are all relatively contained to the PST entity? 
George Strickler: Well, no, we are, as we talked about the Wiring business is having reductions in headcount primarily in the operational side of the business, and so it's there in -- at PST. As a matter of fact, in our other businesses, where they are growing, both Electronics and Control Devices, we're trying to hold the headcount line on those, although we may have to invest a little bit as we indicated in our D&D expenses to support some of these launches that are coming on in 2015. But we think we've -- with the plans that they've got and maybe some continued market improvement that we'll be able to manage that effectively. 
Joel Tiss: Okay. Well, then maybe I missed this, but can you just kind of reconcile your expectation, and I think most involves expectations for pretty significant commercial vehicle uplift as we move throughout the year. And in particular, I suppose, from your largest commercial vehicle customer, the expectation for growth there versus your plan to reduce headcount at Wiring? 
John Corey: Well, again, when I look at the -- we can adjust our headcount back. As a matter of fact, that's one of the things we're looking at right now, how significantly do we adjust headcount back. But when we look at what's happening in the ag market and the impact that we're seeing on that from primarily delayed program, programs that are getting pushed out, so not necessarily with some lower market, market share loss on that. So we're adjusting those headcounts out, we'll keep on balancing the headcount as we see the latest forecast coming in from our customers. So it is -- it's somewhat of a cat and mouse game, so to speak, and that you've got to kind of look forward and see what they're projecting in their forward forecast, and make a determination if you're going to staff for it. We have, last year, we aired on the side of overstaffing for it. This year, we're going to look at it much closer. We have a SIOP meeting that goes on, which is a Sales, Inventory, Operations Planning meeting, and we get input from the commercial side, and of course, the operations side and we make a call as to what we see. If we have to, we can work additional overtime if volume ramps up beyond what we see, and then we'll staff the plants accordingly, but we're watching that very closely. But our current plans for reductions in headcount have that taken into account. 
Jimmy Baker: Okay, got it. And then just on the -- on getting back to the PST business, any concern that some of the weakness that you've been seeing in local currency sales might be attributable to market share issues? Or pretty confident that this is market-wide and your competitors are feeling weakness in line and more severe than what you're feeling? 
John Corey: Yes. Well, as we look at that business, we see what's happening in the automotive sales down there. I think you've seen a lot like Fiat and GM and others come out and report poor sales performance. So that actually doesn't stimulate, then there's less opportunity to install an aftermarket product if the car is not sold in the first case. As we look at -- one of the things that's a longer-term trend that we're going to have to watch out for is increasing vehicle content, and that may have an impact on our aftermarket base. But as an example, we talked about a program we had with promoters where we were having 15 individuals in the São Paulo area go around and visit the installers and provide them service through the distribution outlet. And as we've looked at that, they've done a study about share of market there, and actually with those installers, even in a declining market, our share of market has gone up about 4 or 5 points. Now these are our own people taking the survey. So it's not a scientific third-party, but it does give us an indication that we're holding or slightly increasing our share in those businesses. 
Jimmy Baker: Okay, understood. And then lastly, just I wanted to kind of tackle the guidance maybe from a different angle. It just seems that given the Q1 underperformance that there's a significant hole to dig yourself out of here with regard to the full year earnings guidance. Did you feel comfortable you've given yourself enough of a cushion for all the variability that might come over the next 3 quarters to be able to stay in that $0.80 to $1 range? 
George Strickler: Well, I think, Jimmy, how we view it is rather than going out and really changing guidance, I think we're looking at the midpoint to the low end of that guidance now as opposed to that $0.90 to $1 so -- and rather than modifying all that guidance, I think that's how we're viewing it. We're probably somewhere in the range of $0.80 to $0.90 within that guidance we provided already. 
Operator: Your next question comes from the line of Rhem Wood from BB&T Capital Markets. 
Alfred Wood: I just want to try it one more time with the guidance question asked earlier, but just the cadence, there are a lot of moving parts in the second quarter as we talked about. But I mean, are you talking about for the guidance and you just kind of talked about the range, but are you talking about 25%, 30% in the first half versus the second half? Does that sound reasonable or is that aggressive? 
John Corey: No. I think that's about matching up because I think between the first and second quarter, it's going to be in that range, 25% to 30%, and then the second half will be the offset to that. 
Alfred Wood: Okay. And then one last one, just to understand, I mean, when I look at the quarter, the real kind of hurt you in the first part, but then it came down and ended lower, and typically, wouldn't translate to sales in the U.S. dollars. It's a benefit, but it sounds like maybe you had some import costs that were hurt. But I guess the question is, going forward, if it stays at this level, this should be a benefit, going forward, assuming that it stays around this level. 
George Strickler: Yes. I think as long as we stay right in this range of 2.30, in fact, like today, it's trading at 2.21, so if it stays in this band, I think we can manage that. It's one that really -- I mean, Argentina, I think, caught us all by surprise. I mean, it devalued 23% in one day, 2 weeks prior to the end of January. That created an imbalance. We immediately raised prices in Argentina to offset that, roughly 23%. But as you can imagine, when you pump that kind of an increase in, so the demand has fallen in Argentina, but we're following that very closely, and we'll have to balance the market prices versus what the costs are. And in some cases, maybe we've pulled back on some of the products and just don't sell it in Argentina because it's a significant loss. But for the most part, we've looked at that situation, and said it's still a good business. It's a profitable business at these levels. So we just have to manage the cost structure coming out of Brazil to what we sell in Argentina. And then in the case of Brazil, we've seen some incidences where -- but the dealers have taken a more aggressive action. They haven't built inventory. In fact, they're trying to ratchet their inventory down because interest rates are going up. And John mentioned in his opening that interest rates have now climbed to 11%, 11.5%, a new loan for individuals are up to almost 15% now. So that will have some curtailing of demand. But what we've seen so far, it looks almost like a mirror image of what happened in 2012 in the second quarter, where you get that initial shock from consumers because it's not -- and I think Jimmy asked the question, you see a variation. But if you cross all our distribution, they're all down roughly about 4%, 4.5% of local currency. So it tells you that, and we've been into the detail saying, have we lost any share and the answer comes back, no. We have enough touch points within the market. That looks good. So that I think what we've experienced is a little bit of consumer reservation. Dealers have cut some inventories. But I think we're comfortable moving forward that it was more -- our results were more reflected because of currency changes as opposed to the fundamental market because the market was only down about 5%. We've taken a little more aggressive position even if it cost us some sales. We said let's take a cost structure that's more substantial and make sure that we have the cost to benefit that rather than sort of expecting it to come back and it doesn't. So we forced the organization to take a little harder look at the cost structures and to offset to this. 
Operator: I would now like to turn the call over to John Corey for closing remarks. 
Kenneth Kure: Yes. So as we look at the first quarter, certainly, Brazil was the story for us in the first quarter. It masks the good performance in Control Devices and Electronics and the improving recovery we see in the Wiring business. We expect those trends of Control Devices and Electronics continue for the balance of the year. We expect Wiring to continue to improve for the balance of the year not only because of our own internal improvements but also because of market space improvements. And Brazil, as we go forward, we're taking the actions necessary to respond to the market as we go forward in that, so any uplift in the Brazilian economy, which should be a very positive benefit in that, and could quite frankly, turn around very quickly the demand patterns of the business. So we're cautiously optimistic as we go forward, and pleased with the performance of Control Devices and Electronics business, and encouraged by what's happening in Wiring.  So with that, I'd like to thank you for joining us on today's call. 
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect, and have a good day.